Operator: Good day and thank you for standing by. Welcome to Jones Lang LaSalle, Incorporated's Fourth Quarter 2016 Earnings Conference Call. For your information, this conference call is being recorded. I would now like to turn the conference over to Grace Chang, Managing Director of Investor Relations. Please go ahead.
Grace Chang - Jones Lang LaSalle, Inc.: Thank you, operator. Good afternoon and welcome to the fourth quarter and full year 2016 earnings conference call for Jones Lang LaSalle, Incorporated. As a reminder, today's call is being recorded. Earlier today, we issued a news release which is also available on the Investor Relations section of our website at jll.com along with a slide presentation. A transcript of this conference call will also be posted on that site. Any statements made about future results and performance or about plans, expectations and objectives are forward-looking statements. Actual results and performance may differ from those included in these forward-looking statements as a result of factors discussed in the company's Annual Report on Form 10-K for the fiscal year ended December 31, 2015 and in other reports filed with the SEC. During our call today, we will reference certain non-GAAP financial measures which we believe provide useful information for investors. We include reconciliations of non-GAAP financial measures where appropriate to GAAP in our news release and supplemental slides located on the Investor Relations section of our website. The company disclaims any undertaking to publicly update or revise any forward-looking comments. Now with that, I would like to turn the call over to Christian Ulbrich, Chief Executive Officer, for opening remarks.
Christian Ulbrich - Jones Lang LaSalle, Inc.: Thank you, Grace. I would also like to welcome you to the review of our 2016 fourth quarter and full-year results. I'm joined by Christie Kelly, our CFO, who will provide you with details in a few minutes. But first let me summarize our results. We generated record double-digit revenue increases for both the quarter and year but did not translate that into comparable profit gains. Fee revenue totaled $1.8 billion for the quarter, 15% above the fourth quarter of 2015 in local currency. For the full year, fee revenue increased 14% to $5.8 billion. Adjusted net income was $180 million for the fourth quarter compared with $210 million for the same period in 2015. Full-year adjusted net income totaled $370 million compared with $463 million in 2015. Adjusted diluted earnings per share totaled $3.95 for the quarter and $8.13 for the year. Revenue growth was led by Property & Facility Management and Project & Development Services. Our overall Leasing & Capital Markets businesses delivered solid performance in the face of declining market volumes, especially in the UK. LaSalle continued its strong performance and expanded its energy annuity-based advisory fees. While we delivered good revenue expansion, our profits were lower primarily due to lower LaSalle incentive fees and equity earnings, which we expected given the life cycle of fund maturities; significantly lower incentive fees in our Capital Markets business, which were largely driven by a difficult market environment in the UK following the Brexit vote; stronger growth in our most stable annuity businesses accelerated by the Integral acquisition in the UK compared with slower growth in our higher-margin transactional services; and lastly, increased technology spend reflecting our transformation into a technology-led company that delivers solutions for the real estate portfolios of our clients. To put our results in context, let's look at the economic and market conditions. In 2016, the global economy grew, up 3% for the year. For details, please see the slides we have posted in the Investor Relations section of jll.com. Slide 6 shows 2016 activity in Capital Markets & Leasing. Despite political turmoil, full-year global investment transaction volumes totaled $661 billion, only 6% below 2015. And in the fourth quarter, momentum picked up again with market volumes reaching $206 billion, just 2% below the final quarter of 2015. The weight of capital looking to invest in real estate continued to put downward pressure on yields for prime assets in select markets. However, across 21 major markets in the first quarter, the mean prime office yield held steady at 4.7% for the third consecutive quarter. Global leasing volumes were down 4% for the quarter, compared with the fourth quarter of 2015, and down 3% for the full year. But fourth quarter volumes were up 6% globally on the third quarter of 2016 showing office leasing activity to be resilient in the face of economic and political uncertainty. At year-end, the global office vacancy rate fell to 11.9%, its lowest level since the third quarter of 2008. Annual rental growth for prime offices in 26 major markets slowed to 2.5% in the fourth quarter. To discuss our own performance in this market environment, I'll turn the call over to Christie.
Christie B. Kelly - Jones Lang LaSalle, Inc.: Thank you, Christian, and welcome to everyone on our call. Christian provided the headline summary of results regarding revenues and earnings for the year and quarter, so I will move directly to business line results. On a consolidated basis, Leasing revenues grew 3% for the quarter to reach a record $1.8 billion for the full year, representing 7% growth year-over-year and outperforming the global market decline of 4% in gross absorption. As Christian mentioned, with the slower investment sales market, global volumes declined 2% in the quarter and 6% for the full year. Against this backdrop, our Capital Markets fee revenue was down 4% in the quarter, primarily affected by UK capital markets. For the full year, we outperformed the markets decisively with a slight decline of 1% that compares to the strong performance we had in 2015. Property & Facility Management fee revenue grew a record 49% for the quarter, up 33% for the year, largely driven by the acquisition of Integral. Projects & Development Services grew 26% for the quarter and 28% for the year. Advisory & Consulting grew 12% for the quarter and 15% for the year. Combined, these businesses drove the Real Estate Services fee revenue growth in the fourth quarter and over 80% of our annual growth. For a margin perspective, we have provided additional information on slide 7 of our supplemental slides. Adjusted EBITDA margin calculated on a fee revenue basis was 11.4% for the full year compared with 14.4% in the full year 2015, a decline of 300 basis points or 330 basis points on a constant currency basis. Nearly 60% of this reduction was driven by LaSalle's reduced level of equity earnings and incentive fees and by incremental investments in technology, data and people. The shift in the organic service mix was primarily a result of the UK transactional slowdown, coupled with a $35 million prior-year Capital Markets incentive fees at high margin. The incremental nominal EBITDA benefit from organic growth derived from businesses such as Property & Facility Management and Project & Development did not fully make up for the decline in EBITDA related to decreased investment sales. As mentioned in the third quarter call, we continued to take actions which included the closure of a non-core UK business as well as right-sizing our cost structure. While M&A was accretive from a revenue and margin perspective, the M&A margin dilution is primarily a result of the integral acquisition which is a foundational pillar of our EMEA Corporate Solutions business. The acquisitions we've completed since 2015 have been instrumental in driving our global performance and has offset the organic declines that we have experienced in the transactional businesses primarily in the UK. A few meaningful highlights regarding our acquisitions include, one, acquisitions account for over 80% of our full year consolidated revenue growth including 50% of our Americas growth, 40% of our APAC growth, and offset the negative organic growth in the UK. Two, over 70% of the acquisitions we have completed contribute to growth in annuity revenue and more stabilize performance during real estate cycles. Three, we paid $880 million or 67% of the total estimated value for future payments are primarily tied to revenue and margin performance of our business team. Four, based on 2016 actual contribution on an annualized basis, our acquisitions are generating a 10% return on capital. As we continued to successfully integrate, we aim to achieve a greater return on capital. Five, in the fourth quarter, our acquisitions generated over 12.5% EBITDA margin excluding Integral, and over 9.5% including Integral. As mentioned, during 2016, we continued to invest in technology, data and our people as we worked to transform our Real Estate Services platform. We increased our investments by nearly $60 million during the year, over 60% of which is in front-end client-facing tools and data management, and the balance supports our legacy systems and infrastructure support as well as our service centers and supply chain leadership capability. Consistent with our growth priorities and commitment to an investment grade balance sheet, we continue to manage our leverage profile and liquidity position. Our balance sheet reflects total net debt of $1.1 billion as of December 31, 2016, a decrease of $171 million from the third quarter but an increase of $673 million from the prior year. The year-to-date increase primarily reflects outflows for acquisitions and capital expenditures of $538 million and $216 million, respectively. Our capital allocation strategy continues to focus on long-term growth and shareholder value. Turning to segment results, all-in local currency except for Capital Markets which aligns with U.S. dollar-denominated research data, fourth quarter fee revenues in the Americas increased 12% over fourth quarter 2015 and 15% year-to-date. We delivered strong performance across businesses and markets with accretive contributions from acquisition. Capital Markets generated 16% year-over-year fee revenue growth for the fourth quarter against total market volumes that were down 8%. This quarter's outperformance reflects the incremental contribution from Oak Grove and our team's ability to capture market share. Our Leasing business outperformed the market with quarterly growth of 4% over the prior year. This is particularly notable given the U.S. leasing market decline of 8% in gross absorption volume and reflects solid performance in both agency and tenant representation. Property & Facility Management, Project & Development Services and Advisory, Consulting all turned in impressive double-digit fee revenue growth for the quarter of 10%, 30% and 36%, respectively. Performance was driven by new clients and portfolio expansions as well as acquisitions that have enabled additional cross-selling. Together with the incremental capabilities acquired through acquisitions and strong win in renewal rates, Corporate Solutions delivered 12% fee revenue growth in the quarter. Service delivery and enhanced technology platforms fuel our ability to win more and retain more business. In addition, our Canadian and Latin American Corporate Solutions growth reflects improved financial performance as we scale the business. Adjusted operating margin for the quarter was 12.4% on a fee revenue basis, down 210 basis points from the prior year. This reflects a number of investments, all of which contributed to our revenue growth. These include an increase in platform-related costs including IT and infrastructure support, as well as the renewal and expansion of offices in response to growth, investments in transformative technology services for our clients, as well as in recruiting. Turning to EMEA, this quarter's top-line results reflect the continued slowdown of UK transactional activity in the wake of Brexit, combined with an intentional shift in our service mix from acquisitions that provide more stable recurring revenue. Total revenues for the quarter grew $90 million or 28% over last year and fee revenue grew by $56 million or 24%. Capital Markets revenues for the fourth quarter declined by 20% year over year. Performance reflects the slowdown in investment sales activity and softer investor sentiment, particularly in the UK where market volumes were down 39%. Excluding the UK, Capital Markets performance was comparable to the exceptional prior year in total. Leasing revenues were up 1% year over year for the quarter, reflecting positive performance considering a market decline of 9% in gross absorption volume. Our outperformance centered on leasing activity in France and Germany and was offset by continued weakness in the UK. Property & Facility Management fee revenue grew over 2 times for the quarter, primarily due to the acquisition of Integral. Project & Development Services fee revenue increased 11% for the quarter, reflecting growth in France, MENA and Finland. In the fourth quarter, in EMEA region, delivered adjusted operating margins of 11.9%, a decrease of 660 basis points from the prior year, primarily due to the UK, as previously mentioned. Moving on to Asia Pacific, total revenues grew by $74 million or 20%. Fee revenue increased by $35 million or 11%. Leasing revenue across Asia for the fourth quarter grew by 1% year over year, while gross absorption was up 23%. The difference was largely driven by companies seeking more cost-effective space in suburban location versus more traditional CBD location, as well as more renewals than new leases, which yields lower revenue fees. Capital Markets & Hotels revenues increased by 9% for the quarter, while market volumes were up 21%. Fourth quarter market volumes, however, were distorted by two large equity deals totaling $5.2 billion in China and Korea. JLL performed well in the office sector where results were up 17% and particularly driven by Australia, China, Singapore, and India. Offsetting the positive performance was a strong Hotels headwind where market volumes were down 33%, led by declined activity in Australia and Singapore. That said, Hotels had a strong year in Japan and Thailand, as well as emerging markets like Vietnam. Adjusting for the Hotels impact, the base business was in line with the market. A highlight in Asia Pacific was the continued revenue growth of our Property & Facility Management, Project & Development Services, and Advisory & Consulting businesses with increases 16%, 47% and 4%, respectively. The growth in these businesses generated approximately 95% of the revenue increase in Asia Pacific for the quarter. Adjusted operating margins of 15.9% for the fourth quarter were down 110 basis points compared with the prior period. The margin was impacted by the growth in annuity revenues versus transactional revenue. LaSalle Investment Management had a solid operating quarter and an excellent year-to-date. Fourth quarter Advisory fee revenue grew 11%. The decline in equity earnings is driven by gains recognized in 2015 from dispositions in that period. Adjusted operating margin excluding equity earnings calculated on a fee revenue basis was 14.1% for the quarter compared with 17.2% in the prior year. The margin contraction is largely the result of anticipated lower incentive fees. We anticipate for 2017 the annuity growth will provide stable earnings albeit with lower margins in our transactional businesses. For additional information regarding our 2017 business outlook and operating assumptions, please refer to page 10 of our supplemental slides. And now, back to Christian for closing remarks.
Christian Ulbrich - Jones Lang LaSalle, Inc.: Thanks, Christie. For a sense of how and where we achieved our results, slide 23 provides a sample of recent business wins across service lines and geographies. In our Corporate Services business, we won 150 new assignments in 2016, expanded existing relationships with another 68 lines and renewed 31 contracts. These 249 wins total 803 million square feet across all regions. During the year, we achieved 69% win rate for new business, expansions and renewals. Our Capital Markets & Leasing businesses are major contributors to our profits and continue to show strong wins delivering a long list of prominent deals. LaSalle Investment Management had a $5.1 billion net capital raise for the year and increased its assets under management to a record $60.1 billion at year-end. Looking forward, world GDP is expected to grow by an estimated 3.3% this year. It is too soon to know just how Brexit, the new U.S. administration and other global political uncertainties might affect our own business. Still, it is fair to say that the Brexit vote, in particular, hasn't created an environment which encourages our clients to take long-term decisions around their real estate portfolios. Looking at our markets, JLL research is forecasting that global investment sales volumes will slightly exceed 2016's levels of $661 billion and could potentially reach $700 billion. We see a stable trend within sovereign wealth funds and other long-term investors to increase their real estate allocations so that even with an increase in interest rates, real estate will continue to be a growing asset class. Obviously, this will also benefit the business of LaSalle Investment Management. Our researchers also project that global leasing volumes in 2017 will be broadly comparable to last year's total. Looking forward, we are confident that JLL will be leading the massive transformation our industry is undergoing. Constant change is the new normal. The digital revolution has created a paradigm shift in many industries. Only companies who truly embrace the change and adopt the consistent long-term strategy will be able to stay ahead. Over the last couple of years, we have prepared ourselves, closing gaps in our service offerings by being very active in the M&A space. We have built ourselves a world-class technical infrastructure. We are well-ahead in organizing our data and turning it into very valuable information to benefit our clients. With the acquisition of MSCI Global Corporate Occupiers, we have complemented our ability to deliver outstanding business analytics. We lead our industry in developing cutting-edge digital solutions, RED and Corrigo just to name two, that help us win new business and strengthen existing relationships. These investments have been and will continue to be significant, but they are necessary to keep us at the forefront of our industry and to serve our increasingly sophisticated clients as their provider of choice. Still, over the last several years, we have learned a lot about transforming a very traditional business into a tech-minded organization. With every new project and business initiative, we are becoming more effective in driving better returns on our investments. Turning JLL into a much more tech-driven company is also driving our ongoing ambition to extend awareness of our brand well beyond the real estate industry into the broader corporate world. We are also very encouraged by our success at attracting outstanding talents from other industries across the globe. JLL will continue to be a growth company. The ongoing urbanization trend is strengthening our target markets. Our balance sheet, investment grade ratings and financial flexibility permit us to keep investing in our business. This has been the first quarter for the company under my leadership. I want to once again thank my predecessor, Colin Dyer, for handing over seamlessly such a strong platform. The enhanced global leadership team of the company has come together brilliantly and we have a clear understanding of the way forward. For 2017, completing the full integration of the 48 acquisitions of the last two years will have our highest attention. This will support our ability to create, especially from 2018 onwards, a much stronger conversion of increased revenue into margin expansion and profit growth. In conclusion, looking forward, I envision excellent opportunities for our company over the next several years. I have full confidence in the JLL leadership team and in our outstanding people around the world. Thank you for your interest and confidence in JLL, and now let's turn to your questions. Operator, will you please explain the Q&A process?
Operator: Yes. Our first question comes from Brandon Dobell from William Blair. Your line is now open.
Brandon B. Dobell - William Blair & Co. LLC: Thanks. Good evening. Maybe...
Christie B. Kelly - Jones Lang LaSalle, Inc.: Hey, Brandon.
Brandon B. Dobell - William Blair & Co. LLC: Hi. How are you? Christie, maybe...
Christie B. Kelly - Jones Lang LaSalle, Inc.: Good. How are you doing?
Brandon B. Dobell - William Blair & Co. LLC: ...maybe could touch on the margin progression side which I think is some great detail. And I want to try and see if I can understand how those same factors, especially LaSalle and the mix as we think about 2017, I know there is still a headwind from LaSalle just because this year was pretty good. Should we think about the same kind of magnitude from the service mix changes just because the fee revenues there are still growing pretty quickly? But it also kind of feels to me like the headwind from the technology and investment part of that bridge should be less than it was in 2016. Is that a fair way to characterize those three kind of major buckets?
Christie B. Kelly - Jones Lang LaSalle, Inc.: I think a couple of things, Brandon. We've given some just color on the general business outlook in the supplemental slides in response to yours and many of our analyst feedback together with investors. So I hope you find that helpful.
Brandon B. Dobell - William Blair & Co. LLC: Definitely.
Christie B. Kelly - Jones Lang LaSalle, Inc.: And then in terms of just general color, first let's talk about LaSalle, incentive fees and equity earnings. We've indicated that LaSalle incentive fees and equity earnings will be reverting to historical norms. That holds true for 2017 for equity earnings of about $20 million. We're expecting that incentive fees are going to be a bit below the historical norm of $40 million, probably around $30 million as best we can call it right now. And as everybody knows, we don't have control over incentive fees. But with that, it's not an indication of poor performance at all by LaSalle. It just an indication of where we are in the fund's life cycle.
Brandon B. Dobell - William Blair & Co. LLC: Right.
Christie B. Kelly - Jones Lang LaSalle, Inc.: So, please note that. As it relates to service mix, I think you can expect more of the same. We're doing very well around the globe, but who's to say the impact of Brexit and the UK sentiment and where we are together with the fact that we've had significant growth in investment in our annuity-based earnings based on M&A.
Brandon B. Dobell - William Blair & Co. LLC: Right.
Christie B. Kelly - Jones Lang LaSalle, Inc.: And then specifically, as it relates to margin performance on tech and data, I think you can expect from a capital allocation perspective and in alignment with Christian's strategy as we transform our business for that to remain an important portion of our capital allocation strategy here for the near-term as we invest to scale for our future, as well as transform the front-end tools. And then finally, please, everybody, don't forget the impact of Integral. It's an absolute necessary foundational pillar to our Corporate Solutions business, as we said, but the makeup of that business is just different. It's a lower-margin, principal-oriented business, great team, we're very excited about where we are in integration and the like, but it just is a lower-margin business and we'll have a run rate impact on the overall margin profile of our business going forward as we grow. And with that, I'll turn it over to Christian who may have a few comments.
Christian Ulbrich - Jones Lang LaSalle, Inc.: I don't think I have much to add to what you just said. I think you outlined it perfectly.
Brandon B. Dobell - William Blair & Co. LLC: Okay. Perfect. And then maybe tapping onto that about Integral, I know you haven't had it that long under the JLL umbrella, but how do you feel so far about the integration of the people and the systems and everything into the JLL family? But I guess also importantly, how do you think about the cross-sell or kind of bundling opportunities you guys were seeing relative to your expectations?
Christie B. Kelly - Jones Lang LaSalle, Inc.: Brandon, first of all, I visited the team, I've been spending a lot of time around the globe with our acquisition team members, as you can imagine. And first of all, I could not be more pleased with the integration in terms of the timeline, the cultural fit, the team in terms of embracing the business within the UK, working with our colleagues and really starting to drive cross-sell actually very early because if you can imagine, new people coming together in a market and really starting to work together on their pipeline, that takes a little time. It takes trust, it takes building relationships, and this team has just really hit the ground running. Plus, our COO of the Corporate Solutions business has just done a marvelous job with the business leadership there together with our finance leadership team who has been working tirelessly with an extraordinary CFO in Integral together with the business leadership team to bring this all together. So very pleased. And I think in terms of cross-sell, it's a significant opportunity for us and we're already all over it.
Brandon B. Dobell - William Blair & Co. LLC: Okay. And then final one for me, you called out a couple of larger transactions, I know these things kind of pop up now and again. But as we think about the first and second quarter of 2017 relative to the first and second quarter of 2016, anything jump out at you especially in the transaction business? I know we can look at LaSalle and get those numbers, but anything in the transaction businesses that is going to create a tough comparison that we need to be reminded about?
Christie B. Kelly - Jones Lang LaSalle, Inc.: I just think the general outperformance of Capital Markets in Leasing, at least since I've been here over the past three years, so I would just call that out. But there's nothing noteworthy. I'll turn to Christian to see if he's heard of anything specific.
Christian Ulbrich - Jones Lang LaSalle, Inc.: Frankly, the first quarter last year wasn't a pretty good quarter in the transaction area although we already saw some hesitation in the UK before the Brexit vote...
Brandon B. Dobell - William Blair & Co. LLC: Right.
Christian Ulbrich - Jones Lang LaSalle, Inc.: And so I wouldn't recall any real tough comparison for this quarter compared to the same quarter last year.
Christie B. Kelly - Jones Lang LaSalle, Inc.: Brandon, you mentioned LaSalle and that you're all aware of that, but a lot happened over the years and you guys have a tremendous responsibility with all the companies that you cover. I just want to remind everybody that the first quarter last year was LaSalle's maiden voyage in launch of the J-REIT, which we're really excited about that. But that had really outstanding – an outstanding impact on the norm for our first quarter. So please take a look at that in terms of phasing. The second thing is take a look at the impact of the UK and expect more of the same for the foreseeable future. Our team is doing really well but the market is just a bit slow. And then finally, don't forget about Integral and just the fact that given the phasing of how our business works, the first quarter is low in comparison to the remainder of the year.
Brandon B. Dobell - William Blair & Co. LLC: Got it. Okay. Thanks a lot. Appreciate it.
Christie B. Kelly - Jones Lang LaSalle, Inc.: Thanks, Brandon.
Operator: And our next question comes from Brad Burke from Goldman Sachs. Your line is now open.
Christie B. Kelly - Jones Lang LaSalle, Inc.: Hi, Brad.
Brad Burke - Goldman Sachs & Co.: Hi, everyone.
Christie B. Kelly - Jones Lang LaSalle, Inc.: Hi.
Brad Burke - Goldman Sachs & Co.: Hi, Christie. How are you?
Christie B. Kelly - Jones Lang LaSalle, Inc.: Good. How are you?
Brad Burke - Goldman Sachs & Co.: I appreciate the additional disclosure. I think it's helpful.
Christie B. Kelly - Jones Lang LaSalle, Inc.: You're welcome.
Brad Burke - Goldman Sachs & Co.: Looking at slide 10, it looks like the midpoint of your outlook, I won't call it guidance, but the outlook, you'd expect just 5% – over 5% growth in adjusted EBITDA for the coming year, that's midpoint of the revenue guidance, midpoint of the adjusted EBITDA margin guidance. So I was hoping you could elaborate on what you view as being the biggest drivers of your expected EBITDA growth. And then what do you think about also as being the biggest risks positive and negative to the midpoint of that outlook?
Christie B. Kelly - Jones Lang LaSalle, Inc.: Sure. I think just in terms of the biggest drivers, Brad, for LaSalle incentive fees and equity earnings after three years of impressive contribution, really it's just a matter of where we are in the cycle. That business, as you very well know, is a 10-year cycle generally and we're just retooling. So I think as an analyst and an investor in our company, everybody just needs to remember that. And the team is doing extraordinarily well, but we're just at that point in time where we're just out of the starting block. And so, from that perspective, we'll think about an incubation period of four to seven years on those funds we're building up and then expect sound results as we move forward given the current market condition. Second of all, Integral UK, we can't underestimate the impact of a significant business – the principal business on our overall margins. It's not a bad thing. It's just really a mix of fee versus growth business. And so in any event, just make sure that we understand that impact and remember that this is all about stable and accretive revenue and earnings. Although it is margin dilutive from a percentage perspective, it really does help drive nominal EBITDA. And as Christian noted in his remarks, we are investing in the platform and the front-end transformation of our tools as we really drive to have best-in-class technology on the front end of our Real Estate Services, and this really is for the long-term benefit not only of our clients but in terms of driving total shareholder return and the scalable platform of our business. But in terms of the remarks that we've had, the environment, I can't really comment at all on any more pluses or negatives other than the fact that we've got a great team and everybody is very focused on translating revenues to profit.
Brad Burke - Goldman Sachs & Co.: Okay. That's helpful. And just a clarification on the $0.15 EPS impact also on that same slide, is it fair to think that where the current spot rates are you'd be towards the negative $0.15 end of that spectrum? And when you're giving an outlook for 10% to 12% adjusted EBITDA margin, does it include your expectations for FX impact?
Christie B. Kelly - Jones Lang LaSalle, Inc.: It does.
Brad Burke - Goldman Sachs & Co.: And you are skewing towards the negative $0.15 end of the spectrum?
Christie B. Kelly - Jones Lang LaSalle, Inc.: Not necessarily. We ran a bunch of sensitivities as you can imagine, Brad, and I would say just pick where you think it's going to be.
Brad Burke - Goldman Sachs & Co.: Okay. I appreciate it. Thank you, guys.
Christie B. Kelly - Jones Lang LaSalle, Inc.: You bet.
Operator: Thank you. And our next question comes from David Ridley-Lane from Bank of America. Your line is now open.
David E. Ridley-Lane - Bank of America Merrill Lynch: Sure. So, how do you think about the UK head count relative to the duration of the potential downturn in the market? How extended would that downturn need to be for JLL to meaningfully reduce UK head count?
Christian Ulbrich - Jones Lang LaSalle, Inc.: Well, we have, even before Integral, David, we had 2,500 people, and then you put the Integral on top, so we have to define what is meaningful. So let's focus on the business which is really impacted by that downturn that is the transactional business, notably the Capital Markets & Leasing business. As we have outlined, we believe that going forward the transaction volumes will stabilize in the UK on that lower level what we have seen in 2016. We have already quietly not replaced people who were leaving us and have reduced a little bit on the costs. So I don't expect any significant need to have further reductions in that space in the UK going forward. Now we are staying very close to the situation in the UK, but though the development has been clearly exceeding our most negative expectations which we got for the Brexit but at the end of the day, we are very hopeful that pragmatism will take over and that things will play out fine for the UK going forward.
David E. Ridley-Lane - Bank of America Merrill Lynch: Understood. And if I read between the lines on the full-year outlook, it seems like you're bit optimistic about margin expansion for Real Estate Services. Is that a correct characterization?
Christian Ulbrich - Jones Lang LaSalle, Inc.: Well, I think we are very optimistic for the outlook for our business over the next couple of years because real estate as an asset class will continue to grow, and I think we have done our homework over the last couple of years. I think Christie was very detailed on giving a bit of insight of how we see 2017 to play out. We have different kinds of factors, some will bring our margin down with the increase of our annuity business and some factors will help to stabilize or grow our margin. I think we have provided pretty good read for you guys to see where it will go into 2017.
David E. Ridley-Lane - Bank of America Merrill Lynch: Understood. And then just a final quick one, is the 8% to 11% fee revenue growth, is that in constant currency or in U.S. dollars? Thanks.
Christie B. Kelly - Jones Lang LaSalle, Inc.: It's in USD.
David E. Ridley-Lane - Bank of America Merrill Lynch: Okay. Thank you very much.
Christie B. Kelly - Jones Lang LaSalle, Inc.: You bet, David.
Operator: Thank you. Our next question comes from Emil Shalmiyev from JPMorgan. Your line is now open.
Emil Shalmiyev - JPMorgan Securities LLC: Good afternoon, guys. Just in terms of the M&A environment given the pressure that the public CRE brokers have been under, are you seeing any notable change in pricing for tuck-in deals just from a multiples perspective? And any notable increase or decrease in companies being listed for sale?
Christian Ulbrich - Jones Lang LaSalle, Inc.: You know what, I think despite all the geopolitical turmoil and other factors which would drive a bit of caution, pricing for M&A is still at the very high end of it and there isn't really a sign that this is easing. Frankly, we are very focused going forward on integrating our 48 acquisitions we have done in the past. So we're not overly concerned about the current price levels.
Emil Shalmiyev - JPMorgan Securities LLC: Okay...
Christie B. Kelly - Jones Lang LaSalle, Inc.: I think too, Emil, just we view – we did a majority – all of our acquisitions, I would say, mid-cycle. It's very nice pricing. And following on from Christian's thoughts, we just think things are getting a little choppy now.
Emil Shalmiyev - JPMorgan Securities LLC: So we're talking about like high-single digit EBITDA multiples?
Christie B. Kelly - Jones Lang LaSalle, Inc.: We're seeing much, much higher than that. And we can take you through some (42:17) if that would be helpful.
Emil Shalmiyev - JPMorgan Securities LLC: Okay. Thank you.
Christie B. Kelly - Jones Lang LaSalle, Inc.: You're talking about the market, right, Emil, not...
Emil Shalmiyev - JPMorgan Securities LLC: Yeah, for the market. Yeah.
Christie B. Kelly - Jones Lang LaSalle, Inc.: Yeah, because we did really nice transactions and we've disclosed that on our information in terms of EBITDA multiples. So we're happy to take you through anything we can help you with in terms of external focus.
Emil Shalmiyev - JPMorgan Securities LLC: All right. Thanks.
Operator: And our next question comes from Jade Rahmani from KBW. Your line is now open.
Christie B. Kelly - Jones Lang LaSalle, Inc.: Hi, Jade.
Jade Rahmani - Keefe, Bruyette & Woods, Inc.: Thank you very much. Hi. How are you?
Christie B. Kelly - Jones Lang LaSalle, Inc.: Good. How are you doing?
Jade Rahmani - Keefe, Bruyette & Woods, Inc.: Thanks very much. I'm doing well. Thanks. I was hoping you could provide some additional color on CRE investor sentiment in the investment sales market. It looks like your research did moderate market expectations to 0% to 5% growth from up 10% previously. And I was wondering if in terms of investor sentiment you're seeing increased focus on uncertainty, whether it be regarding the cycle, rates or perhaps prospects for you as tax reform which may negatively impact CRE or if you are sensing some increased optimism around potential growth prospects.
Christian Ulbrich - Jones Lang LaSalle, Inc.: Thanks, Jade. Investor sentiment over the course of 2016 went through a bit of the cycle. We saw during the course of the year a bit of an increase in caution. So when you usually had six or eight really strong bidders for a building, it kind of went down to maybe two or three. But at the end of the year, November-December, was very strong again with a very intense competition, and the way we see generally starting, this trend is continuing. So, I think, as I alluded to in my earlier comments, the attractiveness of real estate in that current environment is still very, very high, and we see an increase in allocations and that will at the end just drive further investor sentiment. Now we have to watch a little bit the interest rate environment, but it is incredibly hard to predict. We may see a bit of an increase in the U.S., but we believe still only to an extent which will not change that underlying positive trend for real estate. And with regards to other currencies, I can see very little reasons why these interest rates in those currencies should increase significantly. So, going forward, we are still pretty positive about investor sentiment.
Jade Rahmani - Keefe, Bruyette & Woods, Inc.: And in terms of the deal timelines, are you seeing those improve with some of the increase in the number of bidders that you noted took in place in December and recently?
Christian Ulbrich - Jones Lang LaSalle, Inc.: Well, frankly, that is not really the case. Because people are slightly concerned about where we are in the cycle, they are taking really their time to come to their final decision, and in contrary to maybe previous years, people are not accepting to be pushed into a decision. They rather walk away from a deal. Now, as I said, we tend to have more than one bidder. That is okay, but the cycle – the time cycle of closing a deal is continued to be slightly longer than we have seen it in 2015 or 2014, and frankly we don't expect that to change in 2017.
Jade Rahmani - Keefe, Bruyette & Woods, Inc.: And on the Oak Grove side, we've seen some phenomenal growth rates even in organic terms from some of your competitors. I was wondering if you have plans in place to grow Oak Grove market share whether that be a function of head count expansion, capital allocation or something else.
Christian Ulbrich - Jones Lang LaSalle, Inc.: Well, we are very happy with that Oak Grove acquisition. It has – and has been integrated extremely well in our U.S. Capital Markets business, and we expect it to continue to grow in 2017 nicely, and that will be done organically.
Jade Rahmani - Keefe, Bruyette & Woods, Inc.: And just finally in terms of the IT spend, I think the December presentation gave what you thought the range would be for 2016. Are you anticipating maintaining that aggregate level of IT spend or increasing it just as a percentage of revenues?
Christie B. Kelly - Jones Lang LaSalle, Inc.: Jade, I'll jump in there just from the perspective of just overall. We don't expect to increase it. Christian is really focused on driving the projects that we view as a leadership team and our businesses view are going to really generate the best benefits in the frontend of our business together with our platform. And so we're managing within specific budgets and profiles, and I'll just turn it over to Christian.
Christian Ulbrich - Jones Lang LaSalle, Inc.: Yeah. I think we have done real foundational work over the last couple of years and have shifted now more and more to front end parts of the business. And so I'm taking the reporting directly and connected as best as possible with my colleagues on the GB (48:00) who run our P&Ls so that we have the highest impact of that investment. And as Christie says, it doesn't need an additional increase towards what you have seen over the past couple of years, but we will maintain that level. What is more important for us is that within that overall spend, it's shifting more and more towards client-facing tools and applications.
Jade Rahmani - Keefe, Bruyette & Woods, Inc.: And just I guess pulling it back to the outlook, the range of adjusted EBITDA margins, what would be the couple of sort of areas of greatest uncertainty that can push the margins towards the lower end of the range? But your spend is expected to be unchanged year over year.
Christian Ulbrich - Jones Lang LaSalle, Inc.: Yeah. It is very much around our Capital Markets business. If we are getting an unexpected volatility in the market with significantly lower-than-expected success fees, that will drive it more to the lower end. And in contrary, if the Capital Markets business will run significantly better than we are projecting then you will see a slightly better performance. But we are pretty confident about that range for 2017.
Jade Rahmani - Keefe, Bruyette & Woods, Inc.: Thank you very much.
Christie B. Kelly - Jones Lang LaSalle, Inc.: Thanks, Jade.
Operator: And our next question comes from Mitch Germain from JMP Securities. Your line is now open.
Mitch B. Germain - JMP Securities LLC: Good evening.
Christie B. Kelly - Jones Lang LaSalle, Inc.: Hi, Mitch.
Mitch B. Germain - JMP Securities LLC: How are you? I might have missed it, Christie, what was the organic growth for the Capital Markets business line?
Christie B. Kelly - Jones Lang LaSalle, Inc.: Organic growth of Capital Markets, we were about 50%/50%.
Mitch B. Germain - JMP Securities LLC: Okay. And it seems like you had been alluding to kind of somewhat lower incentive fees in the back part of the year. Anything driving what was recorded in LaSalle?
Christie B. Kelly - Jones Lang LaSalle, Inc.: No. Nothing out of the ordinary. The team has been doing extraordinarily well.
Mitch B. Germain - JMP Securities LLC: And that's what, like a 50% margin is the way we should think about it?
Christie B. Kelly - Jones Lang LaSalle, Inc.: Yeah. You could think about it as a 50% margin.
Mitch B. Germain - JMP Securities LLC: Okay. Everything else has been answered. Thank you.
Christie B. Kelly - Jones Lang LaSalle, Inc.: You bet, Mitch.
Operator: And our next question comes from Jason Weaver from Wedbush Securities. Your line is now open.
Jason Weaver - Wedbush Securities, Inc.: Good afternoon. Thanks for taking my question.
Christie B. Kelly - Jones Lang LaSalle, Inc.: Hi.
Jason Weaver - Wedbush Securities, Inc.: On a comment you made earlier, given your stance on the pricing for potential acquisitions, what would you expect the new capital deployment priority could be, whether that be shareholder return or just cash build? And also given that stance on pricing, are there any holdings in particular that you see as non-core that might actually be divestment opportunities?
Christie B. Kelly - Jones Lang LaSalle, Inc.: Hi there, Jason. A couple of things. Just from a capital allocation perspective, we are very focused on, as Christian said, driving the integration of the acquisitions that we've conducted and then really building the return momentum within those businesses through cross-sell, et cetera. So we're really excited about that. The other thing is we invested significantly in annuity-based revenue stream which you would think from a cash flow perspective is very attractive also from a multiple perspective. And so we're looking to earn that in the marketplace and in our business going forward. And then finally, the allocation towards front-end tools from a technology perspective, as we really transform our business, it really, I think, helps over the long-term drive scalable benefits that not only to our people and clients but ultimately to our shareholders. And I'll also turn it over to Christian.
Christian Ulbrich - Jones Lang LaSalle, Inc.: Yeah, as we already alluded to, our capital allocation is very focused on going forward and driving our organic growth. And whatever is needed to do so, that will be in our focus which includes also the core investment which is needed to drive our LaSalle Investment Management business which is driving margins very nicely.
Jason Weaver - Wedbush Securities, Inc.: Okay. That's helpful. Just on the accounting, for the compensation expense, was that fully incorporating the integration of Integral or is that something to comment forward, is it phased in?
Christie B. Kelly - Jones Lang LaSalle, Inc.: Jason, could you repeat that question one more time? I don't think we – Christian or I really understood what you're asking?
Jason Weaver - Wedbush Securities, Inc.: Sure. Did the compensation line item that you reported fully incorporate the integration of Integral in this time period? Or is this before the...
Christie B. Kelly - Jones Lang LaSalle, Inc.: Sorry. No, it's really just a quarter.
Jason Weaver - Wedbush Securities, Inc.: Okay. Fair enough.
Christie B. Kelly - Jones Lang LaSalle, Inc.: Yes. 5 times to be precise.
Jason Weaver - Wedbush Securities, Inc.: That is it for me.
Christie B. Kelly - Jones Lang LaSalle, Inc.: Thank you.
Operator: And our next question comes from Marc Riddick from Sidoti. Your line is now open.
Marc Riddick - Sidoti & Co. LLC: Hi. Good evening.
Christie B. Kelly - Jones Lang LaSalle, Inc.: Hi, Marc.
Marc Riddick - Sidoti & Co. LLC: I wanted to go over one quick question on the mention of the margins, and I appreciate you mentioned the margins on the acquisitions. And if I jotted this down correctly, I think you said it was about 12.5% on the acquisition excluding Integral and about 9.5% including, if I got that correct? I was wondering if you could...
Christie B. Kelly - Jones Lang LaSalle, Inc.: That's correct.
Marc Riddick - Sidoti & Co. LLC: Okay. Good. Good. I wanted to make sure – I wanted to sort of get an understanding of what you were looking at as far as the potential for margin expansion. And we'll put Integral aside for a moment. So, excluding Integral, what type of potential goals or maybe what investors might be looking for going forward on the other acquisitions and what's possible there?
Christie B. Kelly - Jones Lang LaSalle, Inc.: Yeah. So I think the first thing, Marc, is we're really looking to drive the return on capital as we complete the integration of our acquisitions and really reap the benefits, if you will, together as a team of the incremental EBITDA margin associated with those investments. And we're really excited about the momentum that's building around the world and in terms of where we are for the fourth quarter performance. I think – so, one is M&A. Two is the longer-term productivity benefits coming from the technology investments. We've talked about things like infrastructure, we've talked about front-end tools where we can really drive revenue per head and (55:10) with reduced cycle time in those investments as well as just be more relevant as we are changing and transforming in this digital age. So, two is technology. And three is really building the mix of our transaction businesses on top of this really nice layer now of annuity-based revenue. We've really view that it's a really solid foundation and that going forward we'll work to really drive our Capital Markets as well as again our Corporate Solutions business.
Marc Riddick - Sidoti & Co. LLC: Okay, great. And a question as far as the cadence of the technology spending through 2017, is there any reason for us to believe that there would be any, in particular, lumpiness or choppiness to that or would be sort of expect relatively smooth across the year and beyond? Thank you.
Christian Ulbrich - Jones Lang LaSalle, Inc.: You can expect it to be relatively smooth across the year. Technology spend is not ideally placed for lumpiness.
Marc Riddick - Sidoti & Co. LLC: Okay. Thank you.
Christie B. Kelly - Jones Lang LaSalle, Inc.: Thanks very much.
Operator: Our next question comes from Jade Rahmani from KBW. Your line is now open.
Jade Rahmani - Keefe, Bruyette & Woods, Inc.: Thanks for taking the follow-up. I was wondering if you could comment on the or elaborate on the comment around brand expansion into the broader corporate world. Does that refer to increased outsourcing services or consulting projects, and are you doing any of that work currently?
Christian Ulbrich - Jones Lang LaSalle, Inc.: Yes. Well, absolutely. I mean, it's probably fair to say that we're in the real estate investor world, we are an extremely well-known brand within very, very high reputation. We are on a journey to drive that brand very much into the corporate space, into the C-suite of corporates who are not dealing with real estate on an everyday basis, who should see us as the excellent service provider. They should expect when they have to deal with real estate, and that is the journey we are on.
Jade Rahmani - Keefe, Bruyette & Woods, Inc.: Thanks very much.
Christie B. Kelly - Jones Lang LaSalle, Inc.: Thanks, Jade.
Operator: This concludes today's Q&A session. I would now like to turn the call back over for any closing remarks.
Christian Ulbrich - Jones Lang LaSalle, Inc.: Well, thank you. With no further question, we will end today's call. Thank you for joining Christie and me. We look forward to speaking again following the first quarter. All the best to you.
Operator: Ladies and gentlemen, thank you for participating in today's conference. This does conclude the program, and you may all disconnect. Everyone, have a great day.